Operator: Greetings, and welcome to the GMS First Quarter Fiscal 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Lynn Ross, Chief Accounting Officer and Corporate Controller for GMS. Please go ahead.
Lynn Ross: Yes. Good morning and thank you for joining us for GMS' earnings conference call for the first quarter of fiscal 2019, ended July 31, 2018. I'm joined today by Mike Callahan, President and CEO; and Doug Goforth, CFO. And in addition to the press release issued this morning, we have posted presentation slides to accompany this call in the Investors section of our Web site at www.gms.com. Turning to slide two; on today's call, management's prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties, many of which are beyond our control, and may cause actual results to differ from those discussed today. As a reminder, forward-looking statements represent management's current estimates and expectations. The company assumes no obligation to update any forward-looking statements in the future. Listeners are encouraged to review the more detailed discussions related to these forward-looking statements contained in the company's filings with the SEC, including the Risk Factor section in the company's 10-K and other periodic reports. Today's presentation also includes a discussion of certain non-GAAP measures. The definitions and reconciliations of these measures are provided in the press release and presentation slides. Also note, that the references on this call to first quarter and fiscal 2019 relate to the quarter ended July 31, 2018, and the fiscal year ended April 30, 2019, respectively. With that, I'll turn the call over to Mike Callahan. Mike?
Mike Callahan: Thank you very much, Lynn. Good morning everyone, and thank you for joining us today. We will begin today's call with a review of our operating highlights, and then Doug will cover our first quarter financial results in more detail. We will then open up the line for your questions. We delivered a solid first quarter highlighted by organic sales growth across each of our product categories. I am pleased to report that we delivered 2.5% year-over-year growth in organic wallboard revenue, which represents our first quarter of year-over-year growth in organic wallboard revenue since the second quarter of last year. Even though our industry continues to face inflationary pressures, we delivered adjusted EBITDA of $75.3 million, an increase of over 42% compared to last year. The contribution of Titan, changes to lease accounting, and hard work by all of our GMS colleagues to increase our profitability contributed to achieving these record results. We are also very pleased with the performance of our recent acquisition of Titan, which advances our goal of being the premier building products distribution platform in North America. We are working closely with many of our key supply partners to leverage our enhanced scale, while continuing to look for additional operational cost savings and cross-selling opportunities through the combined business. And while smaller in nature, we are also pleased to announce, on August 7, the acquisition of Charles G. Hardy, in Paramount, California, which expands our presence in Southern California, and in particular, the Los Angeles metropolitan area, which is the second largest metropolitan area nationwide. We also opened two new Greenfield locations in Philadelphia, Pennsylvania; and Frederick, Maryland this quarter, which keeps us on pace with our expectations of opening three to five Greenfields per year. And lastly, we have made significant progress on our plan to right size our organization and reduce cost to generate approximately $20 million in future annual savings. Given the timing of the rollout of these initiatives, we expect to see significant cost reduction savings begin to flow through our second quarter results, with full run rate savings coming in Q3. Now before I turn the call over to Doug, I would like to provide our point of view on what we are seeing in the industry. We believe that the demand conditions remain healthy across our product categories, as well as the end markets that we serve. While we continue to face inflationary pressures, we have been able to realize meaningful price increases and are executing our cost reduction initiatives to offset these inflationary headwinds. The competitive dynamics in the wallboard market continue to persist as they always have, but with the backdrop of healthy demand, we have begun to see signs of stabilization. Furthermore, we expect industry conditions to remain stable throughout fiscal 2019. Excluding Titan, we believe that our wallboard market share remained relatively flat during the quarter; however, our wallboard volume improved sequentially versus the fourth quarter of fiscal '18, and we were pleased to once again see strong organic revenue growth across all of our other product categories this quarter, with organic revenue in our ceilings, steel framing, and other products increasing by 8%, 16%, and 5% respectively. Looking ahead, we feel very good about our business and remain committed to profitably growing our revenue both organically and through bolt-on acquisitions. We will also continue to focus on improving our cost structure, increasing our adjusted EBITDA, and generating free cash flow to execute on our initiatives and to de-lever our balance sheet. And with that, I will turn the call over to Doug for a detailed review of our financial performance. Doug?
Doug Goforth: Thank you, Mike. We appreciate everyone joining us a little earlier today. Let's turn to slide four. We were pleased to deliver a strong first quarter highlighted by solid top-line growth, strong adjusted EBITDA performance, and good progress on our margin-enhancement initiatives. Starting on the top line, we grew net sales 21.2% to $778.1 million, and increased base business sales during the quarter by 6.1% year-over-year. Wallboard net sales increased 11.6% to $318 million in the first quarter, compared to the same period last fiscal year, including 2.5% growth on an organic basis. This consisted of a 3% increase in price, partially offset by a slight decline in organic volume. Our ceiling sales increased during the quarter by 16.2% year-over-year to $116 million. This includes an 8.1% increase in the base business, driven by continued strength in ceiling volumes and pricing improvement. Steel framing increased during the quarter by 23.4% year-over-year to $129 million, driven by a 16.1% increase in the base business, mainly driven by stronger volumes and higher prices. We typically view steel framing as an indicator of future wallboard performance. So, we are pleased to see an increase in volume of approximately 3% in this product category this quarter. Other product net sales increased 40.7% during the quarter to $215 million, including base business sales up 4.6%, highlighting the success of our continued efforts to grow complementary products. The recent addition of Titan further expands the breadth of our product portfolio, which we believe is a major competitive advantage, and continues to highlight the strength of our customer relationships and the pull-through effects of wallboard, ceilings, and steel framing. Adjusted gross profit increased over 21% to $249 million, while margins increased slightly on a year-over-year basis. They declined by approximately 40 basis points on a sequential basis. Mix was responsible for the 20 basis points of decline from the fourth quarter, but we had a lower cost to serve on the other products, so the impact on adjusted EBITDA is usually neutral. The balance of the decline mainly related to metal products impacted by the tariffs, but our margins improved in those product categories throughout the quarter. We reduced our adjusted SG&A as a percentage of net sales by 130 basis points year-over-year to 22.5% in the quarter. Seventy basis points of this improvement was related to the changes in lease accounting. The remaining 60 basis points of improvement reflect the contribution of Titan and early benefit from many of our initiatives to improve our operational efficiencies and streamline our cost structure, which also drove 140 basis points improvement sequentially over the fourth quarter of fiscal 2018. As discussed on our last call, in the first quarter, we converted the majority of our operating leases to capital leases. This has enabled us to accrue an accounting benefit that favorably affects our adjusted EBITDA without changing our cash economics. This change provided an SG&A benefit of approximately 70 basis points or $4.8 million during the first quarter, and we expect it to favorably impact our fiscal 2019 adjusted EBITDA by approximately $23 million. We delivered $75.3 million in adjusted EBITDA in the first quarter, up year-over-year from $52.8 million. Adjusted EBITDA margin was 9.7% as a percentage of sales, or 9.1% if you exclude the lease accounting change reflecting strong performance from our Canadian operations as well as improvement in our organic operating leverage. As Mike detailed, we are well underway on the previously-stated margin enhancements, and expect to realize $15 million to $16 million in savings this fiscal year as a result of the strategic cost reduction plan that we implemented in late June. Turning to slide five; as of July 31 and after the Titan acquisition, our net debt to LTM pro forma adjusted EBITDA stood at 4.2 times, up from 2.8 pre-transaction. We are comfortable with our current leverage given our track record of cash flow generation and ability to quickly pay down our debt. Our current leverage ratio post Titan compares favorably to 2014 when our leverage ratio was six times, as well as just before our May 2016 IPO when it was 4.3 times. Our balance sheet remains healthy, with $36.8 million of cash on hand, and $200 million of availability on our ABL facilities. Before I turn the call back over to Mike, I want to take a few seconds to thank everyone here at Tucker, as well as the Titan integration team for all of their extraordinary efforts this quarter, particularly the Finance, HR, and Legal teams who've worked countless nights and weekends leading up to this call. We hope all of you have a great and very relaxing Labor Day weekend. Mike?
Mike Callahan: Thanks, Doug. In closing, we had a solid start to the year, which keeps me confident in our ability to deliver another year of record sales and adjusted EBITDA in fiscal 2019. As slide six indicates, we feel very good about our position in the industry as one of the leading wallboard and ceilings distributors in North America, with significant scale advantages and a very well balanced portfolio that's built for growth. We remain confident in the health of our end markets which we believe will continue to support our top line revenue growth and allow us to properly position our business for the long-term. We will continue to invest in our business, and remain committed to our previously stated objective of expanding margins. We have managed our prices appropriately, continuing to provide our customers with superior service and proactively implemented cost saving actions to support profitable growth. These initiatives, coupled with positive margin mix associated with our acquisition of Titan and anticipated synergies will help drive our margins higher over time. And operator, with that, we are ready to open up the call for questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Trey Grooms from Stephens. Your line is now live.
Trey Grooms: Hey, good morning, gentlemen.
Mike Callahan: Hey, Trey.
Trey Grooms: So my first question is you mentioned seeing signs of stabilization, I think, in the competitive landscape. Is that -- can you kind of talk about the timing there? Is that something that you witnessed in your fiscal first quarter, or has it improved since then and do you feel like it's in response to some of these additional increases that have come from the manufacturer, or just a little more color around the competitive landscape there would be helpful.
Mike Callahan: Yes, Trey, I think throughout the first quarter, I mean, obviously that we've experience to price increase as of July, and I think the competitive environment is -- I mean, it's always been competitive. We're going to compete; we've been doing it for 47 years, so there's nothing new in that regard. But I think in the face of rising costs in terms of wallboard pricing as well as rising operating costs, I think the markets have stabilized a bit, and everybody wants to get a return for what they're doing, and it kind of ramped throughout the quarter, frankly.
Trey Grooms: Okay, so that's encouraging. And then, kind of on the topic of additional pricing, with this mid-year increase that you mentioned coming from the manufacturers, what's your approach been to this in cutting the cost around traction here, I know it's still early days, but just any kind of initial thoughts around that mid-year price increase?
Mike Callahan: Well, right now, I would say that prices are up pretty much throughout all of our divisions. The price is holding. It varies, as you know, from region to region based on just the current pricing environment market to market, but fundamentally, I would say generally that prices are up and seem to be holding, but it's going to take a while to finally settle in at a set number.
Trey Grooms: Right, okay. And that comment was across all of your product lines, or was that specifically for wallboard or ceilings?
Mike Callahan: Well, specifically I was referencing wallboard, because I assume that's where you were headed, but in general, prices are up across all products as well, frankly.
Trey Grooms: Yes, okay, just clarifying there. Lastly, on that note, there was some pre-buy obviously in the industry going into these mid-year price increases from the manufacturers. Can you talk about inventory levels, whether it'd be wallboard or ceilings, and with that pre-buy that everybody witnessed there, just kind of talk about your inventory levels? Where you want it at this time of year, and just how well that compares to -- is it about in line, is it a little heavy, light, just anything you could give us on that?
Doug Goforth: Hey, Trey, it's Doug. Our inventory levels are up. You can see that in our balance sheet numbers and our cash flow numbers, so we did do some pre-buying for various products including wallboard. So that's reflected in the results. This is -- and particularly for wallboard, this is an unusual time of the year. It's been quite some time since you saw an increase in the middle of the calendar year, so that's a little unusual. I do expect those inventory levels to come down pretty rapidly throughout the balance of the year, so it's not a level that we are uncomfortable with.
Trey Grooms: Got it. Yes, and I think it's -- correct me if I'm wrong, but just kind of the nature of wallboard distribution, I mean it's kind of limited the amount of inventory you can actually have in place at any given time, and because it's tough to stack this stuff outside, right? I mean, so is that the right type of thinking, it's fairly limited on what you could pre-buy anyway?
Doug Goforth: Well, I would say we were actually able to do a little bit more pre-buying than we have historically, and that's partly the results of our wallboard volumes. We're pretty much flattish for the quarter, so that did enable us to do that. You can store the product outside for a reasonable length of time, and we also have a number of sheds in our facilities that also provide some excess storage. I mean, you were recently at one of our yards, and you actually saw how busy they were and just how quickly they were running through that. And that's actually one of our larger facilities particularly in moving board in this part of the country, so you saw for yourself what was going on there. Their sales pace in August is about the same as it was in July. And as Mike referred to, prices are actually up in August. And again, you were there, you saw how busy they were. So we feel really good about what's coming up. This current quarter is historically one of our strongest quarters, and the same thing for the team up in Canada, so…
Trey Grooms: All right, okay. I've got a few more but I'll pass it on and jump back in queue. Hey, good work on the quarter, and good luck.
Doug Goforth: Thanks, Trey.
Operator: Thank you. [Operator Instructions] Our next question is coming from Keith Hughes from SunTrust Robinson Humphrey. Your line is now live.
Keith Hughes: Thank you. Feel like to your comments, Mike, on you think you maintained share during the period kind of implying a flattish industry, as you reported organically. I guess my question is it's a little surprising given that we've still seen generally good volume gains really all your end-user markets. If you could just sort of characterize what you think is going on the end user demand in the last couple of months?
Mike Callahan: Generally speaking the demand levels have been solid. It's interesting, Keith, some of the -- in one of our recent divisional calls our backlogs are very, very strong, but some of the work, it seems to be getting pushed out. And I frankly don't know whether that's labor constraints or what, but the reality is that the volumes and our backlog position is very strong. Demand conditions are strong. And as Doug said, we're very bullish about the outlook here. But it seems that getting some of the work through the pipeline line and taken out of backlog incurred work is just a little slower that we would've like frankly. And yet, with that we still had a record quarter. So hopefully that answers your question.
Keith Hughes: Okay, second, on slide four you done the EBITDA margin graph, you have the breakout of your margins in this quarter versus prior year excluding the change in higher financing to fleet. It shows 90 basis points of improvement. I do believe that includes Titan which has traditionally been a higher margin business. If we take Titan out of that how does the historic GMS EBITDA margin do in the quarter versus prior year?
Doug Goforth: It actually improved slightly.
Keith Hughes: Okay. And there was that gross margin, SG&A, what helped the improvement?
Doug Goforth: It was both. It was actually more SG&A than gross margin. We started to see some benefits from the cost reduction efforts as well as some of the other operating initiatives that we had going on. Although that was fairly minimal, less than $1 million in the quarter because we initiated that late in the quarter, but we definitely feel really good about the trajectory that we're on in terms of leverage.
Keith Hughes: Okay, thank you.
Mike Callahan: Thanks, Keith.
Operator: Thank you. Our next question is coming from Mike Dahl from RBC Capital Markets. Please proceed with your question.
Mike Eisen: Good morning, thanks for taking the question. This is actually Mike Eisen on for Dahl. Just a quick question first on the framing business, I think on the last call you guys spoke in lengths about working with your partners around pricing in this segment given volatility in the steel market. There's been a lot more volatility. I think your comments imply that there was double-digit pricing benefits in the quarter on the core business. Can you help us think about how we should think about price moving forward, and what this means on gross margins from this segment?
Doug Goforth: That's a good question. It's a tough one to answer. I mean, as we said, volumes were up about 3%, so that's a really good indicator for wallboard and other complementary products coming forward after that. Pricing, as of late, has stabilized but we had a number of price increases throughout the first-half of the year particularly not only in steel framing but also ceiling grids. Ceiling grids has probably been the more challenging one to deal with because a lot of our commercial jobs were set for the balance of this year and going into next year. And so we've had some compression on the ceiling side of things that were current and we're dealing with. And also getting into freight and transportation, that's been particularly difficult, probably more so on the ceiling grids and ceilings in general than steel and other products because the manufacturers have been rolling out freight surcharges, et cetera, they're shipping it from different parts of the country, so that's been more difficult to manage. But the guys have been doing a really good job of getting ahead and kind of restoring those margins going forward. I know that was a longwinded question, but right now in terms of steel, I'd say prices are stable. They still have transportation challenges around that. But anything can happen tariff-wise or tweak-wise that could impact that.
Mike Eisen: Got it, that's helpful. And then just on demand trends in general, I think you guys talked to May being stronger on the last call and continued mid single-digit pace. Can u talk about how the trend actually played out through the quarter and then if you've seen any indications for coming to the end of August?
Mike Callahan: Well, the August volumes continue to be strong relative to the quarter. And in terms of the industry overall, I think our expectation is we're probably looking at low single-digit growth rates, I think, overall. That's kind of how we're looking at the world from here.
Doug Goforth: Yes, I would add on to that. Wallboard volumes were actually pretty consistent on a daily basis throughout the quarter. Still, again, as we've talked about, the volumes there accelerated as you got towards the end of the quarter. So again, that's a good indicator of leading in to the upcoming months, and then other products were up as well, so that's certainly positive in that regard.
Mike Eisen: Got it. Appreciate you guys taking the questions. Good luck.
Mike Callahan: Yes, thanks.
Operator: Thank you. Our next question is coming from David Manthey from Baird. Your line is now live.
David Manthey: Hi, guys, good morning. I'm wondering when you say that the market is stabilizing does that imply that next quarter we could see both price and volume growth in wallboard. And when you look at wallboard are you assuming that the market is going to improve or just the competitive landscape?
Mike Callahan: Well, specifically I think I was just addressing the competitive landscape based on the question earlier. I think it's kind of steady as she goes. We anticipate the volume -- or the market will remain strong. And we will really tend to go with the growth rate in the industry kind of even with it going forward, maybe a little bit better.
Doug Goforth: Yes, I would probably say over the next -- we believe that the first quarter that volumes were essentially flat in wallboard, that we've hit a trough or an inflection point and that we're going to see upside momentum moving forward. And over the next few quarters we would expect to get right back to market levels. So the market is going to be up 3%, over the next few quarters we believe that our volumes will be right in line with that 3% number.
David Manthey: Okay.
Doug Goforth: And then in addition to that we expect to see some price appreciation.
David Manthey: Okay. Then second, thinking about Canada specifically, the market up there seems to be experiencing some interest rate and stress test risks on the residential side anyway. Do you expect slowing up there for Titan? And when you look at Titan specifically, has there been any change in the product offering that they're currently distributing and/or have you translated or have any plans to translate their product back to the core GMS business?
Mike Callahan: Well, I would say generally, Dave, that the Canadian market actually I think is still in a very good position. We are very, very pleased with the performance and the strength of the Titan organization, and that goes from the West Coast all the way to Toronto. I think all of their companies; all of their markets are experiencing solid performance. In terms of kind of cross-border product sharing, it's early on in the process. We closed during the first, but there's no question that there's some opportunities, and we're exploring those daily, what we can do and what they can do to perhaps help collaborate to leverage products, and perhaps even introduce new products into our respective mixes because they do some things differently and on a different scale than what we do and vice versa. So we're already experiencing some pretty solid collaboration. We've had a number of discussions and a couple of meetings to discuss that. And that continues to go forward. But yes, there's definitely some opportunity there.
Doug Goforth: Yes, I would add, Dave, that their sales and margin are trending right where we expect it.
Mike Callahan: Right.
David Manthey: Okay, thank you.
Operator: Thank you. Our next question is coming from Truman Patterson from Wells Fargo. Your line is now live.
Truman Patterson: Hey, guys, good morning, and nice quarter.
Mike Callahan: Thanks, Truman. Good morning.
Truman Patterson: Hey. First question, I believe you guys made some comments earlier in the call, but could you just talk about the pricing versus the product cost for each of your segment lines. Is pricing pretty much offsetting costs or are there any lags? I believe you guys mentioned steel framing might have been a headwind to gross margins?
Doug Goforth: Right. Well, we talked about 20 basis points of margin degradation particularly from fourth quarter was mix related. And then other products, particularly not only steel framing but steel grid, we did see some compression there. But our margins improved on that product throughout the quarter. Again, the steel framing and the ceiling ones are the toughest ones to deal with transportation-wise, because when it comes to wallboard we've done a lot of things to help with transportation on there when it's tough getting trucks underneath them or maybe not cost effectively, we've been able to utilize not only our own fleet but also the fleet of some of our supply partners -- non-wallboard supply partners to kind of help pick up product on a backlog basis. Plus we got a number of our facilities that are rail served, so we're also able to bring in a lot of wallboard product via rail. You can't do that with ceilings for the most part. So when you start to get those surcharges, transportation surcharges and stuff like that, that makes it tough on the margins. But our guys are out there proactively doing whatever they can to try to all set that whether it's implementing our own surcharges where we are doing those in certain markets and some other pretty good initiatives that the guys have come up with to try to increase our margins in addition to flat out price adjustments. So I think we have done a good job passing the majority of those inflationary increases along to our customers. And you see that in the bottom line. I mean based on how we performed in the first quarter, our expectation moving forward is we are back to -- we're going to be putting up double-digit incremental EBITDA margins moving forward.
Mike Callahan: Yes, I would emphasis too what Doug alluded to and that's the rail capacity that really is a very strong asset particularly in this environment right now because I am sure you guys hear it all the time transportation pressures are unbelievable. So the ability to get large volumes on rail to our facilities and offloaded in non-peak times and that kind of thing is very advantageous. And we have a large number of facilities that either have rail directly or have got reload centers where we operate. So that's a big asset for us.
Truman Patterson: Okay, thanks guys. And then jumping over to Titan, I know you guys said that it was performing in line with your expectations. But, what exactly was that performance? Could you break out what's the top line growth and then how maybe the change in the quarter EBITDA margin? And maybe on that top line growth, could you possibly break out between both core revenue and maybe some of the acquisitions that Titan has made in the past year? And then, finally, just following up just some clarity on one of your prior comments on the wallboard backlog being strong and -- or being strong, could you maybe just quantify that what your backlog is up year-over-year?
Doug Goforth: Okay, that's a big question. That's a lot of questions. Let me start with Canada. So, we are one reporting segment and company. So that's how we are going to be reporting our numbers. There are sales obviously we disclosed that the majority of our acquisition related sales in our supplemental materials here are obviously Titan in our 10-Q which we will file no later than tomorrow. Their reported sales for two months for June and July were about a little over US$87 million. But we're not going to get into specific numbers on their EBITDA performance et cetera, just like we don't do it with our other divisions here in the U.S. We all do the same thing throughout North America. So that's how we are going to do there. But again their performance is strong and definitely aided our EBITDA for the quarter. And just as we presented when we did the acquisition that we were going to get that tailwinds because they do have an exceptional operation, good strong margins, operating expenses, they do a good job of managing those. So, it's a very positive contribution. And we will be even stronger over the next nine months. And we are going to have them in each quarter for full period. In terms of I think you also asked about product specifics overall. The other product categories, ceilings volumes were up about 2% to 3% on the base business, and the balance of that of price. And then steel we already talked about 3%. Other products that -- there is such a variety of other products, that's kind of tough. But we believe that the volumes -- that volumes were up in other products as well. So, probably looking at a 50:50 split on that business. In terms of volumes backlog, I'll let Mike talk more about that.
Mike Callahan: Well, in terms of the backlog, I mean as I said earlier, we feel like the backlog across the country is strong right now. Commercial activity is very robust in most of our major metropolitan markets. And I think, frankly, the steel sales is an indicator that there is good to come because the wallboard tends to follow that steel volume. So based on where we are sitting now, we are bullish about the outlook on the backlog. So, looking forward to next quarter frankly.
Mike Callahan: And Truman, I do want to go back and again while we are not going to get specifics on EBITDA et cetera by Canada and the U.S., I do just as Keith kind of asked us on his questions, I do want to make it clear that both here and in the U.S. and Canada, those margins improved on a year-over-year basis. And that's adjusting for the lease accounting change.
Truman Patterson: Okay, okay, thanks guys.
Doug Goforth: Thank you.
Operator: Thank you. Our next question is coming from Kevin Hocevar from Northcoast Research. Your line is now live.
Mike Callahan: Hey, Kevin.
Kevin Hocevar: Hey, good morning everybody. Good morning. Nice quarter. Wondering just on Titan, I believe you are expecting $10 million synergies annualized. And I think you were looking for $8 million or so this year. So, wondering how that's tracking compared to expectations. And when you talk about the collaboration between GMS and Titan and opportunities there, does that suggest that maybe there is some upside to that synergy number?
Doug Goforth: Well good morning Kevin. Yes, the process in finding synergies, we are working diligently. I mean we just closed the deals June 1st. So it's a work in progress. But we are working aggressively and have found already some significant opportunities to leverage our combined platform.
Kevin Hocevar: A lot there.
Doug Goforth: The price, the sequential increase in price definitely is impacted by Canada being in our number for two months. That's a market just like we had markets here in the U.S. which tends to have higher prices. So that's one of them. So we were aided by that in the first quarter. So -- but here in the U.S. most of our increase really came through in really in the July month. Yes, we were up a little bit in May, but the biggest part of the increase was in July. And again as I said earlier, we are up again so far in August so on wallboard price here in the U.S. Canada's prices again aided us. And their prices were up year-over-year. I think I probably missed this on Truman's previous set of questions, but one thing I should share on Canada is their sales pace is actually running -- particularly on their base business is actually running ahead of what we are seeing here in the U.S. Again, we expected that, but it's actually running I would say about 0.1% to 1.5% faster up there in Canada than it is down here in the U.S. right now.
Kevin Hocevar: Got you. Okay, very helpful. Thank you, guys.
Doug Goforth: Thank you.
Operator: Thanks. Our next question is coming from Matt McCall from Seaport Global Securities. Your line is now live.
Reuben Garner: Good morning, this is actually Reuben on for Matt.
Doug Goforth: Good morning.
Mike Callahan: Hey, Reuben.
Reuben Garner: Good morning. Just one from us, so you mentioned confidence [ph] of free cash flow, you will be able to de-lever the balance sheet. Can you walk us through the components? Any puts and takes for what to think about for free cash flow over the next year or so? And how quickly you think you can get that 4.2 down to maybe 3 or less?
Doug Goforth: We think the same thing we said on the Titan call, within two years we would expect to generate enough cash -- operating cash less CapEx, which will be remaining well below 1% of revenue to get it back down to about 3 within two years. And then longer term, Mike and I both will be in the appropriate place to offer a less than 2.5 times. So that's our long-term target.
Reuben Garner: Okay. And there are no specific puts and takes investments or anything like that to think about for this year in particular from a free cash flow standpoint?
Doug Goforth: Well, as you are modeling it keep in mind that we've got a very attractive tax rate now with the Jobs Act. So, we're telling people to model in their cash model for tax probably about call it 24% on adjust pre-tax income. And we provide a table in the back of our earnings release to kind of help through that. But it's the same as always you take the EBITDA and take out cash taxes, our cash interest this year with the result of Titan will run a little under $70 million. CapEx will run, I would say, probably somewhere between $12 million and $17 million. This year CapEx and then working capital while our turns were down and our working capital as a percent of revenue was elevated slightly this quarter mainly because of pre-buy as well as some other payments settling up that foreign currency exchange we did et cetera. We expect that to be back down to around that normal call it 16% of incremental revenue. And then again cash taxes if you assume at 24% tax rate should get you pretty close to what we should do free cash flow wise.
Reuben Garner: Perfect. Thanks, guys.
Doug Goforth: All right, Thanks Reub.
Mike Callahan: Thanks.
Operator: Thank you. We reached end of our question-and-answer session, I would like to turn the floor back to over to management for any further or closing comments.
Mike Callahan: I just want to thank everybody for joining us on our call today. We are very excited about where we are today. And we look forward to updating you on our progress in the coming quarters. I have a good Labor Day weekend.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.